Operator: Excuse me, ladies and gentlemen, please remain on the line. Your conference call will begin in approximately five minutes. Please remain on the line. Your conference call will begin in approximately five minutes. Good afternoon. Welcome to WidePoint's Third Quarter 2025 Earnings Conference Call. My name is Kelly, and I will be your operator for today's call. Joining us for today's presentation are WidePoint's President and CEO, Jin Kang, Chief Revenue Officer, Jason Holloway, and Chief Financial Officer, Robert George. Following their remarks, we will open up the call for questions from WidePoint's publishing analysts and major investors. For additional information, please contact WidePoint's investor relations team at wyy@gateway-group.com. Before we begin the call, I would like to provide WidePoint's Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of WidePoint Corporation that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the company's Form 10-Q filed with the Securities and Exchange Commission. Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the company's website at www.widepoint.com. Now I'd like to turn the call over to WidePoint's President and CEO, Mr. Jin Kang.
Jin Kang: Thank you, operator, and good afternoon, everyone. Thank you for joining us today to review WidePoint's financial results for the third quarter ended September 30, 2025. The progress we have recently experienced is a direct result of the strategic foundation built over the last few quarters, setting WidePoint up for sustainable growth and offering a glimpse into the margin accretive contract opportunities currently in our pipeline. While the past two quarters did not meet our expectations, largely due to opportunities shifting to the right, we took important steps to stabilize our cost structure while maintaining staffing levels and continuing to invest in our business. These actions have positioned WidePoint for a strong finish to 2025 and enable us to capitalize on delayed pipeline opportunities throughout 2026. Revenues for the third quarter were $36.1 million, which was a modest 4% increase from last year. More importantly, we saw an encouraging turnaround in our adjusted EBITDA and free cash flow results. For the quarter, adjusted EBITDA was $344,000 and free cash flow was $324,000, representing not only our thirty-third consecutive quarter of positive EBITDA and eighth consecutive quarter of positive free cash flow, but also an 88,260% sequential increase respectively. We can confidently say we are back on the same growth trajectory we experienced throughout 2024. With many opportunities on the horizon, and 2026, we remain confident in carrying this upward trajectory into Q4. Bob will have additional details on our financial performance in his prepared remarks. Now on to some operational highlights for the quarter. As we have continued to emphasize, WidePoint's FedRAMP authorized ITMS platform unlocks opportunities that were previously out of reach. We stand apart as the only SaaS managed mobility platform with this status, positioning WidePoint as true pioneers and setting WidePoint clearly ahead of our competitors, who simply cannot match or compete with our capabilities, accreditations, and certifications. Our recent margin accretive multiyear software as a service contract to deliver our FedRAMP authorized ITMS platform to one of the big three mobile telecommunication carriers in The United States serves as a strong validation of this advantage. As we have previewed in our last earnings call, this contract requires WidePoint's ITMS platform to serve as a system of record for 2 to 2.5 million devices across government telecom operations. We estimate that this single contract alone will generate $40 to $45 million in margin accretive SaaS revenue over the initial three-year term. WidePoint's ITMS platform will serve over 50 government clients and further establish us as the premier SaaS FedRAMP authorized solution provider. This single contract validates our early investment in the FedRAMP process and highlights the advantage of being an early adopter. FedRAMP opens the door to large-scale margin accretive opportunities, enhances our access to major companies pursuing FedRAMP authorized solutions, and supports our anticipated growth trajectory. And as mentioned previously, FedRAMP in process is a minimum requirement for the upcoming DHS CWMS 3.0 contract. We strongly believe that FedRAMP authorized status will receive a higher rating during the evaluation phase of the CWMS 3.0 recompete. That said, I am pleased to announce that last Thursday afternoon, the final DHS CWMS 3.0 RFP was released. After reviewing the announcement, we found that the requirements are materially the same from the draft RFP that was released a few months earlier. The schedule announced in the final RFP states that the proposals are due by December 17, 2025. We anticipate that a decision on the winner will be announced thirty days from the proposal due date and contract awarded. Accounting for a potential protest of thirty to sixty days, we are optimistically targeting an award by late Q1 or early Q2 2026. We also recently received an extension to our CWMS 2.0 contract, a six-month extension consisting of a two-month base period and four one-month options. We also have existing contract and task orders in place through November 2026 at a minimum under the current CWMS 2.0 contract. This includes the recent task order with the US Customs and Border Protection, of which the ceiling of the task order exceeds $27.5 million. Revenue recognition for this task order began at the start of Q4, which will provide additional support for our year-end results and reinforce the growth momentum seen in Q3. As we have continued to communicate over the past year, and particularly after reviewing the final RFP, we are even more confident we possess all required certifications, meet every criterion, and with our proven track record, as a two-time incumbent delivering exceptional results to the DHS, WidePoint is well-positioned as a prime contractor to secure this upcoming opportunity. We have invested significant time and resources into the preparation and we look forward to capitalizing on this investment and securing this contract for the third consecutive time. For a quick update on Spiral 4, we have secured eight task orders year to date and four awards in the third quarter alone. We want to reiterate while we are competing with some of the largest players in the industry, WidePoint stands out as the only provider under the Spiral 4 contract to provide multi-carrier and carrier-independent solutions. The flexibility WidePoint offers is a value-added differentiator that is beginning to show in our pipeline. We are currently pursuing several opportunities that are larger in scale than our existing wins. While we are still in the early stages of the potential ten-year contract, we remain bullish in our ability to capture our fair share of the $2.7 billion ceiling. WidePoint being awarded eight contracts at this early stage while competing with some of the largest players in the industry is a strong proof point of what the future may hold for us and shows that we can punch above our weight class. We are showcasing that we have the capabilities required to compete alongside the six other companies under Spiral 4. And we believe that FedRAMP will emerge as a meaningful differentiator under this contract vehicle. And we remain bullish and opportunistic in our ability to capture additional awards for the next decade. Jason will expand on this topic shortly. But to provide an update on our device as a service, or DaaS solution, we are continuing to invest in the logistical large-scale opportunities and position the organization for future growth. Our pipeline remains strong, and we remain confident that the opportunities originally expected this year that were delayed will materialize in the coming year. Shifting to Census 2030, the latest request for information was issued in August 2025, and we have since submitted our response. From our perspective, the timing of activities mirrors that of Census 2020, and activities are already underway. We anticipate a very similar scope of work and support requirements for the 2030 activities and continue to align closely with CDW as we progress. While we are still several years away from any significant developments, we are strategically positioning ourselves for success now. At this time, WidePoint has no immediate material impact from the government shutdown. However, with the government operating at reduced staffing levels, we may see a slowdown in activities if the shutdown persists. Additionally, the execution of several opportunities in our pipeline has been delayed. However, we remain confident in our ability to secure these deals after the shutdown and any associated lag. Bob will highlight later in the call, but our current cash balance is more than sufficient to sustain operations, even if the government shutdown extends longer than anticipated. We are confident that the first half of the year was an outlier and we expect adjusted EBITDA and free cash flow growth demonstrated in this quarter to extend into Q4 and 2026. Overall, we remain optimistic for the remainder of the year. The steps we have already taken throughout, combined with opportunities delayed from earlier this year, position us well for sustainable growth in 2026 and upcoming opportunities. Jason?
Jason Holloway: Thanks, Jin, and good afternoon, everyone. Beginning in the fourth quarter of last year, we increased staffing and invested in the business in anticipation of robust opportunities within our pipeline. Although these opportunities have slightly shifted to the right, we made the strategic decision to maintain and continue those investments as we believe these capabilities will support and sustain our long-term growth. Our sales pipeline remains strong, and we were able to begin realizing it through our recent contract with a major and leading US telecommunications carrier. The estimated 2 to 2.5 million devices we expect to manage under this contract highlight the strategic value of ITIM FedRAMP authorized status and positions WidePoint as a leader in a market where competitors struggle to meet such rigorous demands. Although we cannot name the customer, the carrier's decision reinforces our agility and capability to satisfy the stringent security and compliance standards of federal government clients. This contract represents only a glimpse of the margin accretive SaaS revenue opportunities that we are actively pursuing with our FedRAMP authorized ITMS. While officially securing these opportunities requires patience, even landing a single award can meaningfully enhance our financial position and specifically our bottom line results. We are pleased to finally showcase a glimpse of the margin accretive opportunities ahead and I look forward to executing and delivering results. Shifting to DaaS, we are continuing to invest in supporting our DaaS solution and recently completed the implementation of our initial DaaS win with our federal health agency partner. As we've mentioned previously, the majority of DaaS opportunities are commercial clients, and we continue to advance discussions with leading firms across industries such as manufacturing, healthcare, financial services, and public IT sectors. Many of the opportunities in our pipeline are with Fortune 100 companies that typically manage large fleets of devices. We are currently awaiting award decisions from several of these organizations and remain optimistic about beginning these opportunities in 2026 to further propel our growth. While we cannot disclose the potential range of devices to be managed, the predictability of the DaaS business model allows us to forecast the material impact of these opportunities. In fact, we believe securing even one of the opportunities in our pipeline could produce meaningful results, particularly given the scale of device fleets managed by these Fortune 100-sized companies. We are also aligned with our strategic partner CDW and are in discussions on the final terms and conditions to support our partner. We stand ready to support the upcoming LA 28 Olympic and Paralympics if called upon. This event is estimated to involve approximately 95,000 to 135,000 athletes and support personnel and a similar number of devices to be managed. We will be providing our ITMS platform to help secure, manage, and provide visibility into the devices that will be utilized during this historic event. Our platform will be delivered using a SaaS model. Shifting to Mobile Anchor, we have a premier federal government systems integrator in our Mobile Anchor pipeline and are in the process of implementing a project for a major defense contractor for their derived ID certification program. We remain optimistic about the future of Mobile Anchor and plan to continue innovating the product to further generate market interest and drive demand. We're focused on the right opportunities and investing in initiatives that lay the foundation for long-term sustainable growth. This past quarter was only the tip of the iceberg, and we're excited to build on this momentum as we close out the year and head into 2026. I will now pass the call over to Bob for our third quarter financial overview. Bob?
Robert George: Thanks, Jason, and thanks to everyone for joining us today. Before I review our financial results, I'd like to briefly address our previously disclosed revenue guidance. As we assess WidePoint's 2025 performance to date, and the timing of several key opportunities, we now expect full-year revenue to be slightly below our previously issued guidance range, primarily reflecting delays in certain contracts and the impact of the first half results. Additionally, we are revising our full-year adjusted EBITDA and free cash flow. We expect results to be positive but below our previous guidance, primarily due to the shift in timing of key opportunities. To be clear, while our results may come in modestly below our prior expectations, this is a matter of timing, not demand. We're deliberately using 2025 as a stepping stone into 2026, investing into key parts of the business to unlock sustained growth in the years ahead. We are already seeing our financial results return to the growth trajectory we left off in 2024, with notable sequential improvements to our EBITDA and free cash flow performance this quarter. We look forward to closing the fourth quarter on a strong note and carrying that momentum into 2026. That said, I'm pleased to share the details of our financial results for the third quarter and the nine months ended September 30, 2025. Total revenues for the quarter were $36.1 million, an increase of $1.5 million or 4% from the $34.6 million in the same period last year. Our nine-month revenues were $108.2 million, an increase of $3.3 million from the $104.9 million reported in the same period last year. Now I'll provide a further breakdown of our third quarter and nine months revenues. Our carrier services revenue for the quarter was $20.4 million, a slight decrease compared to $22.4 million reported in the same period last year. This is a result of variations in the total number of lines managed in Q3 for one of our DHS customers. Though our carrier services revenue for the nine-month period was $65 million, an increase of $2.8 million compared to the same period last year. Our managed services fees for the quarter were $10.1 million, an increase of $1.6 million compared with the same period in 2024. For the nine-month period, our managed services fees were $28.6 million, an increase of $2.2 million from the same period last year. The increase was primarily due to a new federal end customer that began in September 2024. Billable services fees for the quarter were $1.3 million compared to $1.7 million in the same period last year. The decrease was primarily due to a slightly lower number of billable positions in the third quarter. Although, for the nine-month period, billable services fees were $4.4 million, an increase of $249,000 from the same period last year, reflecting more billable positions in the first half of the year. Reselling and other services in the third quarter were $4.3 million, an increase of $2.3 million from the same period last year. For the nine-month period, reselling and other services were $10.3 million compared with $12.2 million in the same period last year. This quarter reflects the impact of the change in our revenue recognition for SaaS type reselling agreements. Certain sales that were recognized at delivery last year are now being recognized ratably over the contract period. As a result, Q3 shows a modest benefit while the year-to-date comparison appears lower simply because last year's revenue was more front-loaded. Importantly, this change does not affect total annual revenue, only the quarterly timing of when reported. Gross profit for the third quarter was $5.3 million or 15% of revenues compared to $4.7 million or 14% of revenues in the same period in 2024. Gross profit for the nine-month period was $15.2 million, or 14% of revenues, compared to $14.3 million or 14% of revenues in 2024. The gross profit percentage, excluding carrier services, was 34% in the third quarter compared to 38% in the same period last year. The decrease was partially due to slightly higher labor costs as we bolster our customer delivery capabilities and relatively more reselling revenues, which carry lower margins. Importantly, for the nine-month period, gross profit percentage excluding carrier services, increased to 35% compared to 33% in the same period last year. The increase was due to a combination of increased managed services fees and lower reselling revenues for the nine-month period compared to last year. Our gross profit percentage will vary period to period based on our revenue mix. Sales and marketing expenses in the third quarter were $700,000 or 2% of revenues compared with $500,000 or 2% of revenues in the same period last year. Sales and marketing expenses for the nine-month period were $2 million or 2% of revenues compared to $1.7 million and 2% of revenues in the same period last year. The increase reflects increased sales and marketing activities in 2025. We expect to see further dollar increases here as we continue to invest in sales and marketing efforts, though we expect sales and marketing to be lower as a percentage of revenues in the future. General administrative expenses in the third quarter were $4.8 million or 13% of revenues compared with $4.4 million and 13% of revenues in the same period last year. General and administrative expenses in the nine-month period were $14.5 million, or 13% of revenues compared with $13.3 million and 13% of revenue in the same period last year. The dollar increase primarily relates to general inflationary pressures, additional headcount, and associated costs, which were partially offset by less share-based compensation expense. We expect general and administrative expenses to increase in dollar terms as our business grows, but to remain constant or lower as a percentage of revenues. As a result of the previously discussed items, net loss for the third quarter was $559,000 or a loss of $0.06 per share, compared with a net loss of $425,000 or a loss of $0.04 per share for the same period last year. Net loss for the nine-month period was $1.9 million or a loss of $0.20 per share compared with a net loss of $1.6 million or a loss of $0.17 per share for the same period last year. Adjusted EBITDA for the third quarter was $344,000 compared with $574,000 in the same period last year. Free cash flow for the third quarter was $324,000 compared with $511,000 in the same period last year. This represents our thirty-third consecutive quarter of positive adjusted EBITDA and eighth consecutive quarter of positive free cash flow. More notably, third quarter adjusted EBITDA and free cash flow experienced an 88,260% increase respectively compared to last quarter's results. With the robust pipeline, Jin and Jason mentioned earlier, we remain confident in carrying this growth trajectory and momentum into 2026. Additionally, with our recent telecommunications carrier contract award, valued at approximately $40 to $45 million in SaaS revenue over three years, we estimate that that revenue will begin to be recognized in 2026. We anticipate continuing this upward trend in our bottom line adjusted EBITDA and free cash flow and beyond. Additional opportunities such as CWMS 3.0 and DaaS, while not yet materialized, are progressing in the right direction, and we believe these initiatives will help us maintain this growth trajectory in future quarters. We ended the quarter with a strong federal contract backlog of approximately $269 million, providing solid revenue visibility for the coming year. The majority of this backlog represents recurring work with long-standing government customers. Moving to the balance sheet, we ended the quarter with $12.1 million in cash compared to $6.8 million at the end of the second quarter, with no bank debt. In anticipation of the government shutdown, we also strategically maintained a strong cash position at quarter-end in case the shutdown extends longer than expected. As a reminder, we also have additional liquidity available with a revolving line of credit with $4 million of potential borrowing capacity, although we do not anticipate having to rely on that facility. This completes my financial summary. For a more detailed analysis of our financial results, please refer to our Form 10-Q which was filed prior to this call. With that, I'll turn the call back over to Jin.
Jin Kang: Thank you, Bob and Jason. Our optimism for the future stems from the pipeline of deals that is currently in the works and a steady increase as a percentage of revenue of our managed services and SaaS revenues. While we cannot share specific details into our pipeline yet, we were pleased to be able to close our recent SaaS contract with one of the big three US mobile telecommunications carriers and showcase exactly the types of opportunities that we have coming up. As we stated at the end of 2024, WidePoint continues to pursue margin accretive contracts that contribute meaningfully to our bottom line results. New opportunities through our FedRAMP authorized ITMS platform, our DaaS program, Spiral 4, and upcoming CWMS 3.0, among others, are avenues where we aim to capture these types of contracts that will serve as a catalyst to propel WidePoint into the next phase of growth. That concludes our prepared remarks. And we will now take questions from our analysts and major shareholders. Operator, will you please open the call for questions?
Operator: Certainly. The floor is now open for questions. If you have any questions or comments, please press 1 on your phone at this time. We ask that while posing your question, please hold just a few moments while we poll for any questions. Your first question is coming from Barry Sine with Litchfield Hills Research. Please pose your question. Your line is live.
Barry Sine: Hey. Good afternoon, gentlemen. Can you hear me okay?
Jin Kang: Yes, Barry. Good afternoon. Great to hear from you as always.
Barry Sine: So huge news on this $40 to $45 million contract during the quarter. And, yeah, we'll see what additional information I can, we can get from you. You did provide some incremental information. It'll be about over three years, and start about the middle of next year. And, Bob gave the backlog. I think it was $269 million. How much of that 45 is in the $269 million? And did I, yeah, did I get those data points right in terms of the timing?
Jin Kang: You are correct, Barry. To answer the last question first, how much of that $45 million is in the backlog? The $269 million only includes our federal government. This $45 million would add to that. We are looking at being fully implemented probably starting in the third quarter of next year. You know, but the schedule is still in flux. And so, you know, we're still having conversations with our customer. And, you know, some of the customers think that the implementation of the solution and fully migrating all of their data into our system is going to be, you know, sometimes even later than that. And some of the folks want it earlier. So we're just taking an average to say that it's going to be in the third quarter.
Barry Sine: Okay. That makes sense. And then you're obviously not at liberty to name the customer there's three major US wireless carriers, AT&T, Verizon, and T-Mobile, so it's presumably one of those. How are you doing with the other two? And would this preclude you from selling the solution to the other two?
Jin Kang: The answer is no. We do not have an exclusivity with this carrier. And if you look in the FedRAMP marketplace, you will not find any one of the big three telecom mobile carriers here in The US in that marketplace. It's just what we're surmising is that they're going to get the same pressure from their federal government customers to manage their data using a FedRAMP authorized platform. So we don't have any direct, you know, we're not having direct conversations with the other two yet. But, you know, we're hopeful that we can start that conversation. And, and and it this this agreement that we have currently does not exclude us from having those conversations and licensing or slash you know, white labeling our platform as a service to the other two carriers.
Barry Sine: Okay. Well, that's great news. And then, my other question, in terms of the cash balance, you ended the quarter with $12.1 million and you've got huge government backlog, and I didn't realize the 40 to 45 is not even in that, so that's even bigger. CWMS is looking good. I can't believe they issued the RFP during the shutdown. You've got Spiral 4 contracts coming in and, you know, other potential contracts plus the census and the Olympics. So it looks like you got almost too much cash. How so my question is, how is how does the M&A market look? Are you building the cash for acquisitions? Are you seeing anything? Are there opportunities out there? Do the valuations look okay?
Jin Kang: Yeah. I mean, we are looking around. In terms of our cash position, we went on a very aggressive treasury management to ensure that we, you know, retain cash and preserve cash. To process all of our vendor invoices and and and and so we waited for the very last moment to pay our invoices and and the the increases some of the increases in the cash position. Was timing of invoices. In in terms of, you know, our cash balance being sufficient to, you know, run operations, I we believe that we have plenty of cash and you know, sufficient networking capital to, you know, weather any type of, you know, slowdown in federal government as slowdown in invoices. We are continuing to add cash to our balance sheet, and we're gonna continue to do that. We want to make sure that we fortify our balance sheet. But at the same time, we are looking around for potential opportunities and we are quietly looking around for acquisition targets. We haven't run across any, you know, thing, you know, material opportunities out there. So we're quietly looking. I think the the multiples and the valuations are still pretty high. And so we're patient, and we have plenty of runway. And, we're we're going to continue to generate cash and build our balance sheet.
Barry Sine: Okay. Those are my questions. Thank you, gentlemen.
Jin Kang: Great. Thank you, Barry.
Operator: Your next question is coming from Casey Ryan with West Park Capital. Please pose your question. Your line is live.
Casey Ryan: Thank you. Hello, team.
Jason Holloway: Hey. Pretty good quarter. I guess
Casey Ryan: Hey. Thanks. Hi. I guess I was expecting expecting a little more turbulence from the government shutdown, but seems like you guys knew what to expect and what to do to navigate that. So that's impressive, I would say.
Jin Kang: Yeah. I mean, we've been we've been through this rodeo many times. Since the current management team has been in place. I mean, government was shut down at least three or four times. And and all through all of that, you know, we're considered essential services. So, you know, and and I'm, you know, had obligated funds. So so we're, you know, used to dealing with this thing and we'll continue to do so. But now the government is open, hopefully, they'll, you know, there won't be too much of a lag in them coming back to work.
Casey Ryan: Right. Right. Which will be great. So setting aside the government opportunities, on the commercial side, yeah, I'm curious about the, the mobile opportunity that that you referenced is exciting as a proof point. I'm just curious about kind of implementation time and deployment time and sort of how long it takes until that gets up and running? More importantly, I'm asking about does that prove you know, serve serve as a proof point and a selling point to other potential customers? Once that's live and going.
Jin Kang: Yeah. So so so the answer is it you know, the length of the implementation usually involves, customer input. We are in the process of implementing one of the larger systems integrators here in the DC area, federal government contractor, and that's going well. And and and I'll have, you know, Jason tell you, you know, more about it. But I will tell you that, you know, a lot of the implementation and the the the the time it takes to do that is dependent on customers' participation because it it involves, you know, the entire organization, not only their IT, but also their human resources. For, you know, those, personally personal person identifiable verification. Right? And so, Jason, if you wanna add some color to that,
Jason Holloway: Sure. Hi, Casey. So normal normal implementation time is sixty days. With the government shutdown, that did happen. Obviously, that delayed it a little bit, but that's okay because they're already a client. You know, we won the award. And as Jin said, these folks, they need to be present because of Mobile Anchor. We are taking, all of their existing data then we're deriving it onto their mobile devices. So, typically, you're looking at about sixty days for that kind of activity. But, you know, we we'll be able to, to catch up now that everything is, you know, back open.
Casey Ryan: But it's not gonna slow anything down.
Jin Kang: Right. So so so at some point before the end of the year,
Jason Holloway: Oh, yeah. For sure. And so for WidePoint as an organization, you can start to say, hey. Look. We've we've stood somebody up, and they're on it, and it's great. Which I think is important. Other question is, when Mobile Anchor is being put in, does it need to interface with any other security systems? And and I'm asking out of ignorance. But but identity management systems or, you know, other type things or is it separate from those and doesn't need to sort of interface with with those types of things?
Jason Holloway: No. The great the great news is is that Mobile Anchor doesn't doesn't rely on anything else because we are the tip of the spear in terms of cybersecurity. We we are literally at the top of the food chain. We don't need to integrate with, you know, with anything. So we take those certificates that are on their current smart card credential, and then we can issue a a net new certificate already using those existing credentials, and we put it directly onto the device itself. So we yeah. So we don't require anything else.
Jin Kang: Yeah. So just Casey, just one one clarification on that is is that you know, we issue our our digital certificates and identity certificates and we don't rely on any system for that. What the what what good about it is is is that all of the current systems, the Microsoft Active Directory, and the Unix, you know, lightweight directory applications. They all accept the digital certificates that we issue. And so, you know, while we don't have, we're relying on any these systems, but there are these systems that are consumers of our identity certificates can ingest and accept those certificates as their security token. So so that's a huge plus for us as opposed to us going out and building all of the infrastructure all of the infrastructure is there.
Casey Ryan: Yeah. Well, thank you for that because that that was sort of the direction I was was going was was was well, no. No. I mean I mean, once you're saying that you guys don't rely on actually, it would make sense that other infrastructure or security systems would maybe start to rely on you and come to you to sort of ingest your data to sort of to sort of improve what they're offering, basically.
Jin Kang: Correct. Correct.
Casey Ryan: Okay. Terrific. And then help me understand what the opportunity is with the Olympics again. I feel, underinformed about how big and and what the opportunity might look like. And, you know, if you guys have been involved in in Olympics before in some previous version.
Jason Holloway: We have not been involved in the Olympics prior. We do have significant past performance with CDW. I really cannot offer too much additional color regarding the Olympics because that's something that is still, you know, very much that's that's currently happening. So we just need to be careful about what we say. What we can tell you is is that, you know, and and we said this on the previous call, is that CD that CDW, you know, is is the official provider for those services. And we do work with CDW. So that's, yeah, that's that's kinda where we're at right now. Okay. And, Jin, you got anything to add?
Jin Kang: Yeah. You know, it's it's this is the the DaaS device a service opportunity. And CDW is a premier provider of that service, and they rely on our platform. So they'll be using our FedRAMP authorized ITMS platform to manage all of these devices that they'll be utilizing for the Olympics. And so we're estimating somewhere between 95 to 135,000 athletes and devices. And it does it's not a one for one, you know, one athlete to one device. And so this opportunity could be larger. But it is very similar to what we did for our Census 2020. And so we know that our solutions can scale. And, you know, we've we've been teamed with CDW and they're a great partner. And we look forward to, you know, supporting them on this LA 28 Olympics and Paralympics. Which they are a an official supporter of.
Casey Ryan: Now. Right. Okay. Alright. Terrific. And then last question, I guess. You know, it sounded like you were saying sales and marketing maybe has ticked up a little bit but wouldn't continue. And I was curious about that because it's it's you know, again, I guess, coming to this kind of as a newer following analyst, you know, I would think that that that that the commercial opportunities might incent you or sort of drive you to spend more in sales and marketing as you sort of you know, pursue those greenfield opportunities.
Robert George: Yeah. Hey, Casey. This is Bob George. Hey, Bob. I'll clarify that comment. We expect that the dollar amounts of sales and marketing will go up. It's just a matter of as a percent of revenue, it'll be constant. Relatively constant to where it is. So it takes percent times what our, you know, next year's revenue. That that's a lot of dollars in sales and marketing.
Casey Ryan: Okay. Got it. Got it. Thank you for the clarification. Well, thank you for the question. Hey, Jason. Did you wanna say
Jin Kang: Okay. Okay. Oh. I think I think, you know, Bob hit that pretty pretty accurate. Okay? Okay. Well, listen. You know, for all this reputation about shutdowns and people exposed to federal, I thought it was a really great quarter. And I appreciate you taking my questions. Thank you.
Jin Kang: Great. Thank you, Casey.
Operator: At this time, this does conclude our question and answer session. If your question was not taken, please contact WidePoint's IR team at wyy@Gateway-GRP.com. I'd now like to turn the call back over to Mr. Jin Kang for his closing remarks.
Jin Kang: Thank you, operator. We appreciate everyone taking the time to join us today. As the operator mentioned, if there were any questions we did not address today, please contact our IR team. You can find their full contact information at the bottom of today's earnings release. Thank you again, and have a great evening.
Operator: Thank you for joining us today for WidePoint's third quarter 2025 conference call. You may now disconnect.